Operator: Welcome, and thank you all for standing by. [Operator Instructions] I would like to remind everyone that this call is being recorded. If you have any objections, you may disconnect at this point.
 Now I'll hand the call over to your host, CEO, Scott Montross. Sir, you may begin. 
Scott Montross: Thank you, Eunice. Good morning, and welcome to Northwest Pipe's conference call. My name is Scott Montross, and I am President and CEO of the company; and I'm joined by Robin Gantt, our Chief Financial Officer.
 As we begin, I would like to remind everyone that the statements we make in this call about our expectations for the future are forward-looking statements and actual results could differ materially. Please refer to our most recent SEC filing on Form 10-K for a discussion of risk factors that could cause actual results to differ materially from expectations.
 I will now turn to Robin who will discuss our first quarter results. 
Robin Gantt: Thank you, Scott. Our net loss from continuing operations was $1.2 million or $0.13 per diluted share.
 Water Transmission sales decreased to $43 million in the first quarter of 2014 from $78.6 million in the first quarter of 2013. Water Transmission gross profit as a percent of sales decreased to 3.9% in the first quarter of 2014 from 25.3% in the first quarter of 2013. The decrease in sales was due to continued weakness in municipal markets. The decrease in gross profit and gross profit as a percent of sales was driven by product mix and some noncash inventory charges related to the Permalok acquisition of about $1.3 million. The low volume and sales in the first quarter of 2014 contrasted sharply with the first quarter of 2013, which included production in sales from the Lake Texoma project.
 Tubular Product sales from continuing operations increased 38% to $39.6 million in the first quarter of 2014 from $28.7 million in the first quarter of 2013. Selling prices decreased 2% and volume increased 41%. We sold 39,000 tons in the first quarter of 2014 compared to 27,600 tons in the first quarter of 2013. Tubular Products gross profit as a percent of sales was 6.7% in the first quarter of 2014 compared to 10.6% in the first quarter of 2013. Our energy products comprised approximately 80% of Tubular Products sales in the first quarter 2014 compared to 61% in the first quarter of 2013.
 Gross profit and gross profit as a percent of sales were negatively impacted by planned downtime for the replacement of the existing front end of our 16-inch mill in March 2014 as well as margin compression as pipe prices have not kept up with steel cost.
 Shipment volumes for Tubular Products continuing operations in 2013 were 27,600 in the first quarter, 29,800 in the second quarter, 32,400 in the third quarter and 43,000 in the fourth quarter for a total of 132,800 in all of 2013.
 Selling, general and administrative cost decreased to $5.4 million in the first quarter of 2014 compared to $6 million in the first quarter of 2013. The decrease is primarily related to lower incentive compensation expense with our decreased profitability.
 Interest expense was $770,000 in the first quarter of 2014 and $957,000 in the first quarter of 2013 The decrease was the result of lower average interest rate, partially offset by higher average borrowing.
 Our effective tax benefit rate from continuing operations was 35.5% in the first quarter of 2014, and our effective tax provision rate was 31.7% in the first quarter of 2013.
 In discontinued operations, we recorded a pretax $12.1 million loss on the sale of the OCTG business. This included losses on fixed assets, transaction cost and a goodwill write-down of $4.4 million.
 In the first quarter of 2014, the company generated $40.1 million in cash from operations to support the growth of the business, mainly through decreases in cost and estimated earnings in excess of billings and uncompleted contracts, inventories and trade and other receivables. These were partially offset by an increase in refundable income taxes.
 Depreciation was $3.2 million in the first quarter of 2014 and $3.9 million in the first quarter of 2013.
 Inventories decreased $14 million by the end of the first quarter from the end of 2013. This was primarily due to a decrease in Tubular Products inventory and a decrease in Water Transmission coil inventory with the decrease in production. This total inventory reduction excludes the change in inventory that resulted from the sale of the OCTG business on March 30, 2014.
 Capital expenditures were $5 million in the first quarter of 2014, primarily for planned capacity expansion in our Atchison, Kansas, line pipe facility. The remainder was for ongoing maintenance capital expenditures.
 The total consideration for the sale of the OCTG business was $42.7 million. Of the proceeds received, $4.3 million was placed in escrow to secure our indemnification obligations under the purchase agreement; $5 million was used to repay capital leases related to certain assets of the Bossier City facility, and $1.8 million was used to pay for transaction cost, resulting in net proceeds of $31.6 million.
 Now I'll turn it over to Scott for an update on our business. 
Scott Montross: As of March 31, 2014, our backlog in Water Transmission was approximately $148 million. As of March 31, 2013, our backlog was approximately $136 million. We expect that the second quarter of 2014 will improve from the first quarter. The backlog in Water Transmission has increased with the addition of the IPL job. We expect Water Transmission sales to be higher than they were in the first quarter with gross margins in the low-to-mid teens.
 The following is an outlook on upcoming Water Transmission projects.
 The IPL job will start production in May and will be producing through the fourth quarter of 2014. The second segment of IPL is expected to bid in the fourth quarter of 2014.
 The 22-mile Madison, Wyoming, project has bid, and we are awaiting the results. 
 The 40-mile Odessa Subarea pipeline project near the Snake River in Washington state will bid sometime in 2015. The 140-mile Red River job in North Dakota will bid in mid-to-late 2015. 
 The newer project that we have not discussed before is a project in San Antonio that will reduce the depletion rate of the Edwards Aquifer. The total program is expected to be in excess of $100 million and will be broken up into several projects. The first project is expected to bid in the third quarter of 2014 with production beginning late in 2014.
 In Tubular Products, we are ramping up our operations after the planned downtime for our expansion in Atchison. Second quarter net sales in Tubular Products will be similar to the first quarter, but we expect margin compression with the recent run-up in steel coil prices. We expect between $14 million and $20 million of total capital expenditures for 2014, which includes the remainder of the Atchison expansion project as well as normal capital maintenance.
 In conclusion, the first quarter of 2014 was affected by a series of one-time events as we work to position the company for long-term future success. From an ongoing operating perspective, we believe the first quarter will be the worst quarter of the year. The startup of the IPL project in May will begin to drive Water Transmission to a more normalized level, and the modernization project at the Atchison facility completed commissioning in April and will lead to higher production levels, lower cost and a more competitive position in the line pipe market.
 At this time, we'll be happy to answer any of your questions. 
Operator: [Operator Instructions] Our first question came from the line of Mr. Barry Vogel. 
Barry Vogel: First little question is, you talked in the press release about weakness in municipal markets, which of course we've seen for many years now in all your filings. Could you give us your current definition of continued weakness in municipal markets? 
Robin Gantt: I'm terribly sorry, Barry. We are having such a hard time hearing you. 
Scott Montross: Would you try to repeat that question, Barry. 
Barry Vogel: Could you give us your current definition of continued weakness in municipal markets? 
Scott Montross: The current definition of continued weakness in municipal markets. Well, obviously, we've come through a time in 2013 where we saw very, very low bidding activity. Municipal markets were below $400 million. And that's the reason we're seeing the kind of revenue that we are in the first quarter -- for the fourth quarter and the first quarter of this year. We are actually starting to see a pickup in the amount of bidding activity as we go into the first and second quarter of 2014. In fact, when we were looking at the amount of work that we booked in 2013 versus the amount of booked work and pending work that we already have in 2014, we're  actually well beyond right now through the first week of May where we were in all of 2013. So we have seen a pickup. And when you look at specifically the number of jobs bidding, Barry, the number of jobs that we saw in 2013 were, I guess, probably about 55% or maybe 60% of normal. And we're actually seeing probably a 15% to 20% pickup in the amount of jobs that are bidding at this point in time. And, obviously, from some of the jobs that we're talking about, we're seeing some larger jobs this year. Obviously, the IPL bidding and the first section being awarded to us. The second section being bid later in the year and then the San Antonio project. So I think it is picking up, but it's certainly not back to the levels that it was probably in 2011 and early 2012. And I don't believe that we're going to see those kind of levels until we get out to sometime in 2015, where the number of jobs that I would call larger jobs, which are over $10 million, really start to grow. But it certainly is picking up versus what we saw in 2013. I would call 2013, at least in the last 10 years, pretty historically low. 
Barry Vogel: Now could you give us a little bit of color on the San Antonio job? I mean you used the term $100 million, I think, when you described it in your presentation -- in  your  initial comments. What does that $100 million mean? 
Scott Montross: Yes. The San Antonio job is really a program that's broken up into several different projects, okay. So we're expecting to see this year probably somewhere in the area of about 14,000 or 15,000 tons worth of pipe bidding, okay. And it is a smaller diameter project and a lighter wall thickness. So with the project that we're looking at for stuff that's bidding during this year and will start sometime this year is about 28 miles of 60-inch pipe. But that, obviously, is going to be something that begins to impact later in the year. And really what they're  trying to do, Barry, just to give a little bit of background it.  The Edwards Aquifer down near San Antonio is under a lot of pressure from the water requirements of the city. And what they're trying to do is give something or create something there that starts to enhance what the Edwards Aquifer is able to supply. And that's really part of the ongoing program and the development all across Texas. 
Barry Vogel: Now you talked about a commissioning of the Kansas facility in your commentary. Can you or Robin give us some idea of the negative impact of the downtime in the first quarter? 
Scott Montross: Well, we -- we really -- we  didn't have our big mill in Atchison, Kansas, which is the 8- through 16-inch mill running through the whole month of March. So, it was down for the installation of both the breakdown section and the thin pass section as well as an installation of a hydrotester at that facility. So it's hard to determine the impact, but it was probably somewhere -- we would probably have had somewhere in the area double the amount of tons shipped if that facility was running -- or that mill was running in the March timeframe. 
Barry Vogel: Well, how  about the impact, financially in the quarter? 
Robin Gantt: The impact on -- I'm sorry, I didn't catch the last word. 
Barry Vogel: On Kansas financially in the quarter because of the downtime? 
Scott Montross: Okay. Well, I think it was pretty substantial. Obviously, it's hard to give that total impact because there's cost related to labor internally that we were using to help install the project that we wouldn't have had otherwise, plus a bunch of margin loss. So all those together could be well -- could be in excess of $1 million. 
Barry Vogel: That's all? 
Scott Montross: Say that again. 
Barry Vogel: Is that all, just a little bit in excess of $1 million? 
Scott Montross: Yes, somewhere in excess of $1 million. 
Barry Vogel: Okay. All right. Now with that commissioning done is Kansas now through with this project where they can have the ability if they were operating flat out with a normal mix have a capacity of 225,000 to 250,000 tons of [indiscernible]? 
Scott Montross: We actually think that the capacity of the Kansas facility is probably somewhere, with a perfect mix, around 325,000 tons now. 
Barry Vogel: What about an imperfect mix? 
Scott Montross: And we shipped somewhere in the area of about 132,000 tons out of Kansas last year. So you can see what the potential upside of the production is and the potential reduction in the conversion cost. We've already done a lot of work on the conversion cost, Barry, with the installation of the accumulators we did last year, the maintenance project that's been installed. And the reduction in conversion cost has been pretty large up to that point. We think that, that's going to --  the installation of the new front end of the mill and the hydrotester is going to help conversion cost even further. 
Operator: Our next question comes from the line of Mr. Thomas Van Buskirk. 
Tom Van Buskirk: I wanted to follow up on Barry's question about the downtime at Atchison. I'm trying to understand what we're looking at going forward. I think you said that the Tubular sales in Q2 would be similar to Q1. But if tonnage was impacted by the downtime, absent a big change in pricing, does that mean that we're looking at a substantial period of downtime in Q2 again? 
Scott Montross: No. Actually, we were going through commissioning of that mill in April. And we'd probably get back to normal levels --  or we've gotten back to normal levels -- sometime in the middle of April. But one of the things that's happened is, is we just finished a larger -- we're in the process of finishing running a relatively large project, the Double H project that was 36,000 tons. So that really jumped up the production level of what we saw in the fourth quarter of 2013 and in the first quarter of 2014, okay? So we're going to be relatively flat for a period of time until we get another project and until we get orders to really start filling out the additional capacity on that mill. Because one of the things that you go through when you change the mill and change the size range that you can run on the mill, quite frankly, you go through a qualification process with the customers too, them getting used to the heavier gauge product, the heavier -- the higher strength-level product. And that's what we're going through now. Until you can actually make it and ship it to them and then sell the product or use the product, it's still a testing phase. So we expect to see larger shipping levels as we go into the third quarter. 
Tom Van Buskirk: Got it, that’s helpful. And then just as an -- it's  not a follow-up exactly, but you went through the various projects kind of quickly. Can I trouble you to go through them one more time? Just to make sure I have them all. 
Scott Montross: Sure. There are several projects out there. One, obviously, that we talked about for a long period of time is the IPL project, which we've been awarded the first segment of that. And it's a 15-mile project, approximately 21,000 tons of pipe. And there's a second section of that IPL project that bids later in the year. It's probably a similar size to the first project. The next immediate project that we're waiting on is a 22-mile pipeline out in Madison, Wyoming. And that bid was done a few weeks ago, and we're waiting for the results on that. We think that we have a good chance on that, but we don't yet have those results. Then there's the San Antonio project that we talked about that is really a big program that's broken up into several different projects. We think the whole program is in excess of $100 million program. And the first part of that program starts in 2014. And we expect to probably start bidding on that sometime in the third quarter. And if we're successful on that bid, we'd see production on that sometime in the fourth quarter of the year. Then there's a couple other projects out there that are -- they've been on the radar for a period of time. One is the Odessa Subarea project, which is basically in Eastern Wyoming. It's really a project --  excuse me, Eastern Washington. It's a project that there's wells out there; they're old wells that are starting to be depleted, and the pumping cost on those wells is starting to put stress on the agriculture in the area. So there's some private groups looking at the potential of creating a pipeline to be able to get more water to that area for agriculture purposes, okay. So that's something that we think is somewhere out in 2015. There's not a definitive date on that. Along with that, there's a project called the Red River project, which is in North Dakota. That's really a pipeline that's about 140 miles is the -- is what's been talked about to be able to take water from the Missouri River to deliver it into a lake, called Lake Ashtabula in North Dakota, that runs into the Red River so that higher water levels can be supplied to cities and communities in North Dakota which, quite frankly, with all the frac-ing going on there and the development of population centers there is a requirement of a lot more water. And that's another project that's being hotly discussed right now. And what the state of North Dakota is doing is they believe -- not believe -- but they have support of the state government to do the project. And they're apparently trying to stay away from federal waterways that's going to require any kind of federal funding or federal involvement so that they can push that project through. And we think that's sometime in 2015. Along with that, there are probably at least another couple of sections of the IPL project, which is moving water from Eastern Texas reservoirs into the Dallas Metroplex. So there are a lot of major projects that are being discussed and going on at this point, plus an increase in a number of smaller projects that we're seeing. 
Tom Van Buskirk: Okay, I appreciate it. With regard to -- just 1 quick follow-up on Odessa. Is funding still a concern with that  because it's a privately funded venture? 
Scott Montross: Yes. Whenever you get into looking at privately funded ventures, funding is always a concern. But I think that there's some private groups that are looking at -- they're in contact with the farmers that are affected by the water issues, and they're working through those issues with the farmers. So that's always going to be a concern until the projects listed and ready to go. But we think that the chances are at least pretty good that that's something that's going to move forward. 
Tom Van Buskirk: Got it. And just one last real quick one, if I may. The current level -- the current pickup in the backlog, which is certainly a great thing to see, how would you characterize the pricing that's embedded in that as opposed to what it was in the latter part of last year where it got kind of thin? 
Scott Montross: I think some of the pricing levels that we're seeing at least on, I guess, what I would call some of the bigger projects are pretty good. And it's definitely a positive to what we've been seeing in 2013. I think where we start seeing some of the issues are on the smaller projects. Some of those are still hotly contested. Because when you look at a competitor base, they all went through the same thing that we did in 2013 with a low number of jobs bidding. And pretty much all of those jobs were pretty hotly contested, which is really -- has  an impact on the smaller jobs, which is really what you're seeing in the first quarter of the year in the low margin levels along with some of the one-time impacts that Robin described at the beginning. So I think the bigger jobs are a little bit better on the price levels. The smaller jobs I think that they are more under pressure because the bigger jobs are more of a risk in doing them, having the wherewithal to do them. You have to be able to deal with a large project and being able to deploy resources. On the smaller jobs, most of the competitors can do them. So you have everybody bidding on those. So that's pretty much what we're seeing right now. 
Operator: And our next question came from the line of Mr. Scott Graham. 
R. Scott Graham: So I have the pricing on the first section of IPL. I was hoping you could give us some parameters around the next 21,000 tons that you're talking about here. What would that be on a dollar per-ton price basis? 
Scott Montross: On the next 21,000-ton bid? 
R. Scott Graham: Yes. 
Scott Montross: Yes. It's pretty difficult to give an idea of pricing level on that simply because what is the competitive landscape at that point in time. And we think that the section -- the next section of IPL will probably be even a little bit more competitive bidding than the first section. So it's pretty difficult to come up with what we think that the price level is going to be ending up at on  that, Scott. 
R. Scott Graham: Fair enough. Would it be fair to say that the San Antonio job, which you'll bid on later this year, that because it's the small wall thickness that, obviously, the price per ton would be lower still, right? 
Scott Montross: Well, that's a potential. Again, it depends on what the competitive landscape is on that job. I think what you start to do when the number of jobs, especially in Texas, with the local suppliers starts to pick up. Obviously, the potential suppliers in Texas start to get busier. And that bodes better for, maybe, higher pricing margin levels as you go forward. So we view that as a positive. But again, it really depends on when we get to San Antonio what the competitive landscape's going to look like on that bid. 
R. Scott Graham: I understand, okay. A question about the first quarter Water Transmission sales. So down 45% year-over-year. Now my calculation has that Lake Texoma was like 30% of that 45%. Robin, does that kind of jibe with reality, that $25 million? 
Scott Montross: It's somewhere in there in between $25 million of that project, $25 million to $30 million in the first quarter of the year. 
R. Scott Graham: And let's for the sake of argument, because that's the numbers  that  I'm looking at, let's say it was $25 million and that's a 30% impact, which means that you still had a 15% decline in the rest of the business. Of that 15%, what was the negative -- was there a negative price component or was pricing kind of flat? 
Scott Montross: Well, I mean, again, it really depends on the job because every job in Water Transmission is a little bit different, based on wall thickness, the diameter with the coating, what the lining is and who the competitors are on all those jobs. So it's hard to look at it on a total picture. But I think -- looking at the first quarter, Scott, if you would bear with me on this, I think it's -- we knew first quarter margins were going to be low. I mean with the low bidding activity that we saw in 2013 and the competitive nature on that bidding activity, because it was so low, you obviously start to have a pretty big impact of fixed costs on the gross margins. And when you're that low of numbers, I mean you can work on all the cost reductions that you want, you can only get a certain amount of fixed and still have operating plans to be able to take on the upside production that we expect to be happening through the rest of this year. And that's why when we had our March earnings call we said that we thought that the margins on Water Transmission were going to be in the high single digits, okay. The thing that impacted that. Again, Robin talked about the acquisition charge related to Permalok. We had some weather-related shipping delays in the first quarter. And when your top lines are that low and the margin levels are that tight because the low level of business, it doesn't take a lot to impact that, okay.  Fortunately, we are seeing the increase of activity as we go forward so we can get the higher revenue numbers, which starts  spreading that fixed cost and start driving higher margin as we go forward. And, obviously, you can probably understand we're looking forward to that very intensely. 
R. Scott Graham: Yes, yes. For sure. Okay. Here's my last question, and it's around the municipal market in total. So we had some pretty unhealthy declines in that business in the last 3 quarters of 2013. And just by the triangulation that we just did here with the down sort of 10% to 15% this quarter, that's actually better than what we saw in the last 3 quarters of last year. And you're saying that bidding activity has improved. So, really, essentially 2 questions on this. When you were referring to the $400 million, I didn't follow that, Scott, number 1. And number 2, we were talking -- and Robin, you and I have talked about this -- the bidding being sort of down on that --  let's call that the run rate business, right, the non-project business, that the bidding was down about 30% for most of 2013. What is that number in the first quarter? 
Scott Montross: Well, okay. So let me handle the $400 million piece first when I said -- when I was  talking about the municipal markets being less than $400 million for 2013. And remember back to when we were talking about the KWA project and the size of that KWA project. And obviously, there was some anomalies that took place with that project. But that was approximately an $80 million to $85 million project, and those were in those numbers for 2013. So you can see what the rest of the market looked like without that in 2013. So that's what those numbers are. Now with the IPL going on now in 2014 and San Antonio going on in 2014, we're expecting obviously the overall market to be in excess of $400 million for water municipal work in 2014, so pretty big jump off. And it's not just 1 big project in the year like we had in 2013 bidding at KWA. You have the 2 sections of IPL. You have the Madison Project, which is a pretty large project. You have the San Antonio project or program with the parts of the projects that are going to kick off. So you have not only an increase in the activity of smaller bids that we're seeing, but you also have an increase in the activity of bids that I would call larger bids. And when I say larger bid, Scott, normally it's above $10 million, okay.  So, I guess I'd ask you to repeat the second part of the question because I'm not sure that we got that. 
R. Scott Graham: So, obviously, there's a break in fixed business within municipal, right? And there's drinking water and then there is wastewater pipe. I know you're  more on the drinking water side. My point is that I was trying to understand -- and we were talking about bidding being down 30% to 35% on a year-over-year basis for a lot of 2013. I was just trying to understand if we X-ed out the impact of the projects -- I'm just trying to understand what is going on sort of in the Break and Fix business right now? What does that bidding look like? 
Scott Montross: Well, it's -- I think the Break and Fix business there's a little bit more -- a little  more of that going on. In fact, we've actually been involved in some of it. And just to frame it.  We are really in the drinking water segment like you said. Our involvement on the dirty water side, sewer water is really pretty small. And the only place that we get involved there is force  main applications where there's some pressure requirements.  On the drinking water side, as is I think is what we're talking about, we've been involved in some of that Break and Fix work. We've been involved in some relatively large reliner projects through late 2013 in California. And we're looking at being involved in some other projects. But I think the step up -- the look-at things to me is when the funding is as low as it's been, obviously, from federal support and being able to do projects. And as you know, you get a lot of these state and local governments that when you're under budget crunch they're not able to fund these things. So, quite frankly, one of the first things to go is the drinking water situation, right. You have drinking water pipes and everybody's read a million different publications that say, well, we waste 30% or 35% of our drinking water a year based on the condition of the existing pipelines. Well, to this point, drinking water is pretty cheap, right? It's not that expensive. So that's, quite frankly, tolerated. And it's gotten more toward the fix and repair over the last couple of quarters. But I think what we've starting to see now is stuff going beyond the fix-and-repair thing for some of the projects that we're seeing now increasing on the smaller side. And it's more toward extensions, putting in new lines that are smaller lines to connect other lines. So we're seeing significantly more of that.  I'd say probably 15% or 20% more of that than we did in 2013. 
R. Scott Graham: I understand. Let me just -- if I could just put sort of a final sort of -- a final piece of data here within my question because I think we're on the same page in your answer. If I look at 2012 Water Transmission revenues, they were $217 million. And if I strip out Lake Texoma, you're in the $225 million territory. If I look at last year, 2013, you were $225 million in revenue, right? And there were really no project -- big -- big  project shipments. What I'm getting at is, the municipal break and fix plus those smaller projects that you don't necessarily call out, but they would be I would argue an extension of the Break and Fix business. So, essentially, we're looking at --  or you guys  $225 million  based on revenues. And what I'm hearing you say is that the bidding activity within that base of revenues is better now than it was a year ago. 
Scott Montross: Yes. You can see, Scott --  just to build on that a little bit. And as you said, in 2013 at $225 million worth of revenue on Water, we had $25 million in Texoma on that, okay. And when you look at the third quarter of '13, the fourth quarter of '13 and the first quarter of '14, during that period of time, we were on about $175 million annualized rate. So you can see how low that bidding activity got during that period of time. We are seeing an increase in the bidding activity as we go forward. Really, it started in December for work that really started in the second quarter. But there's an increase in that smaller bidding activity too. 
Operator: And our next question came from the line of Mr. Gerry Sweeney. 
Gerard Sweeney: A question on the Tubular side. Could you give us a little bit more detail? Obviously, you worked the front end.  You installed the hydrotester. This expands the market scope that you can sell into. You talked about that's going to be a process probably ramping up in 3Q and you can actually accelerate the sales on that side. But looking at those improvements, what happens -- curious as to the margin profile of this larger base business. Is it a better -- it's larger, but also can you get a better margin or selling price? Just a little bit more detail as to how that works as well as maybe some of the tonnage increases and how we can frame that out going forward. 
Scott Montross: I think the margin profile on the larger sizes is certainly better because your costs are lower. You're certainly running when you're running a  16-inch 3/8 wall pipe, your 
 tons per hour on that are higher than when you're running an 8-inch 188 wall pipe. So I think that margin profile gets better as we're able to move into the heavier sizes, okay? So -- and I think that's really what we're trying to do. And by moving into those heavier sizes -- just to answer part of your question -- we've expanded the market that we're able to participate in. Really, we've essentially doubled it. And we think that the line pipe market that we're able to participate in when we were with the mill before the modernization project was probably $1.2 million.  And we think it's closer to $1.4 million or $2.4 million now with being able to do the larger diameter, heavier wall projects as well as higher strength level projects. And on those higher strength levels and those bigger gauges and bigger wall thicknesses and diameters, Gerry, you're also able to -- to be able to get a little bit more money on those because you start to separate yourself out from others who can't make those kind of strength levels. 
Gerard Sweeney: And then correct me if I'm wrong, but also as you move forward on the line pipe, you've worked somewhat with distributors, but the goal is maybe to go direct a little bit more, which would also help the margins. 
Scott Montross: Yes, I think there's -- in the past, it's been a significant amount of our business was through the distribution network. And obviously, we're going to continue with the distribution network of our key distributors that we deal with now. But I think the idea is we -- as we evolve in this business and have better capabilities is to start doing more end user project-like work, like we had associated with the Double H project. Even though that went through a distributor who had some involvement in it, we think our ability to go direct on those kind of projects has improved.  And it's all about developing the relationships with the end users now, giving the -- probably the over-the-horizon view on when those projects occur and getting those in.  Because quite frankly, you don't have somebody in the middle of those projects, which obviously when there's somebody in the middle helping trying to manage the project, that has somewhat of an impact on the margin profile of those shipments. But I will say our key distributors are key to us and will remain key to us. But our movement as we go, to maintain those key distributors as well as getting into more end-user-type business and growing the total production and shipments off of the Atchison facility. And all that's going to do, as we grow production in shipments, is continue to help drive down our conversion costs and ultimately move that margin profile into the double digits like we think it should be. And when we look at the margin profile for the first quarter of the year, we're at about 7% margin on the shipments from Atchison. Again, the big mill was down for the full month of March. But if you look at what the margin profile was -- and you can't see that -- this, but for January and February, our margin profile was closer to 10% for those 2 months when we were running like we were with both of the mills. I do think though it's important to note that right now with the recent run-up we've seen in steel prices, we've seen steel prices run up by $65 a ton in the last 30 days. And quite frankly, there's not a run-up in line pipe prices at this point. The line pipe market was a little bit slower in the first quarter with weather conditions, so that will pinch the margin in the second quarter. But once steel prices start to moderate, which we think they will, I think we see us approaching that -- those double-digit margins again. 
Gerard Sweeney: So you look at the steel prices as a temporary issue? 
Scott Montross: Yes. I think, Gerry, I think the steel prices are starting to move within a narrow -- more narrow band all the time. And right now, we're seeing that steel band anywhere between $600 and at least $700 a ton. And just in the last 4 weeks, it's run up to $680. And really, that's not a demand-driven event. Really, it's a supply-side event with supply side disruptions in a couple of U.S. steel mills, 1 in Gary and 1 in Great Lakes. Disruption in supply from the Essar mill in Sault Ste. Marie, Ontario. So all those things together starts to tighten up supply. I think AK had some disruptions too. It starts to tighten supply and let those prices and lead times run up for a period of time. But what we do know is we do know that internationally,hot-rolled band prices are lower than they are in the United States.  And we expect a significant amount of imports to start coming probably in the beginning of the third quarter. It starts to moderate that price down. Because that steel price, it has to get down to a level because we're not seeing really any upward movement in the line pipe prices right now. Not saying that, that won't to happen as line pipe prices continue -- or line pipe demand continues to increase, which we think it will over a period of time because of takeaway capacity requirements for the new shale plays. But the steel pricing is up right now, and it's going to pinch things in the second quarter. 
Gerard Sweeney: Yes, understood. Okay. One quick clarification on San Antonio.  You said $100 million. Is that the size of the project or the size of the pipe that's going to be used in the project? 
Scott Montross: No, I think that the project is significantly larger than that with the installation. So we believe that the pipe requirements over the life of the project, which could go on for quite a period of time, should be in excess of $100 million. 
Gerard Sweeney: Got it. And then --  a question on California. Obviously, a lot of job issues out there. Are you seeing any uptick in RFPs out there? I also know -- I've talked to you guys in the past -- I think you're doing some process you called canning before, which I think is a repair/replacement type of work. Any type of qualitative/quantitative background on what's happening in California and if you're seeing business out there? 
Scott Montross: I think the business levels in California still, if you look at east versus west -- and obviously, California is a big part of the west -- are still down pretty substantially. Okay. Although with the drought conditions that are going on in California right now, we know that there's a lot of speculative work right now going on, and some of it's publicized with taking additional water that's -- from the Colorado River and moving it into the Colorado River Aqueduct and getting it into Los Angeles sometime in the future.  And there's some well-publicized things going on with that. But we have not seen a significant pickup in the work in the west yet. I think we're probably starting to see a few more projects. Those projects are probably in the more smaller diameter range, probably 32-, 36-inch range, but no major pickup yet. But we do expect that to come with the drought conditions that exist in California. I think there's going to be some pent-up demand there from water requirements into the major population centers that, obviously, bodes well for us with a facility right outside of Southern California, right outside of LA. 
Operator: And our next question came from the line of Mr. Matt Sherwood. 
Matthew Sherwood: So just -- I guess just to start, can you talk a little bit about the incremental profitability on the tubular -- incremental margins on the Tubular business? So as you ramp towards a better utilization of the capacity, because 132,000 tons versus 325,000 of capacity is a pretty low utilization.  Can you talk about the incremental profitability and where margins could go in a normal environment? 
Scott Montross: Yes. And I think it's fair to say that they go into the double-digit level. I think the hard question to answer, Matt, over the long term is what does the line pipe price do? Is it going to remain under pressure? Or is it going to -- as demand improves, is the line pipe price going to improve, which we hope is going to happen. The other piece is what's the steel price going to do over that period of time? Right now, what we've seen in the entire line pipe market is that since the beginning of 2012 through really the end of 2013 we've seen line pipe prices and the steel coil price we've seen that spread be reduced by some probably $180 a ton. Okay. And we're sitting with a pretty significantly reduced spread as we move into 2014. Now in 2013, we were able to still do pretty well with Atchison throughout that year even with that reduced spread, and a lot of that was running higher volumes and continuing to take costs out of the business and those type of things. I think we are -- we will go -- we will get into the double-digit margins at Atchison, but it's going to continue to require costs coming out of the business, which we believe that we'll be able to do with the new mill and the heavier sizes that we're going to be able to run. But to give an exact estimation on that is really going to be based on what does the line pipe price look like as demand increases? And what does the coil price look like through that period of time? One thing that we've seen different on line pipe pricing versus, say, structural pipe pricing, structural pipe pricing has the tendency to move pretty much in lockstep with what the hot-rolled band price does. And we've seen structural pipe pricing run up over the last month or so, simply because hot-rolled band pricing is moving. With line pipe pricing, because that hot-rolled band price has moved up or down over that period of time, it really hasn't impacted what's going on with the line pipe price.  So that's going to be -- continue to be a cost game for us, okay, continue to drive costs out of the business, which obviously if we were able to perform the way we did in 2013, we were able to drive a bunch of costs out of that business. It's going to be a cost business, continue to work on costs and continue to able to drive those margins. But I think anything we get from the spreads widening back up, whether it's coil price reductions or line pipe reductions, it's just going to enhance the margins that we're going to be able to see up in that facility, particularly at higher production levels with a lower conversion cost that we're going to be able to generate. 
Matthew Sherwood: Right. I mean because I guess if you look at the sort of run rate for Q4 and beyond -- and Q1 and Q2 now, on previous capacity, you were at close to 70% capacity utilization. Whereas over the year, you were never close to that. If you get the 70% capacity utilization on the new -- then your capacity you could be talking close to 230,000 tons, which is $1,000 price and even at 12% margin would create $10 million to $15 million of enhanced operating income at the line pipe at Atchison, which is a big deal on 9-point-something -- 9.4 million shares. 
Scott Montross: Right. And it's -- and that's exactly right the numbers that you're coming up with. I mean those are the kind of levels that we're striving to get to. Obviously, with having 325,000 tons of capacity, we can't sit and run at 132,000-ton rate. Our goal is to get above 200,000 tons. 
Matthew Sherwood: Right. That’s great. Okay. Then just quickly shifting gears to water. In terms of timing of projects, if you were indeed the winner of the Wyoming project, the Gillette Madison Pipeline, when would that project start to ship and what's the timetable of the shipments there? 
Scott Montross: I think we'd probably making -- be making pipeline at -- we should know probably within the next week or so whether we win that project. But I think the timing for that's probably a July timeframe where we start recognizing revenue on that. 
Matthew Sherwood: Got you, and – okay. And then I guess just in terms of -- Gerry had asked about California. In Texas I guess as whatever, like 50 cities that are going to run out of drinking water in 180 days, and people are drinking toilet water if you read the popular press. California is just starting in a drought. When do you think -- yeah, like the sort of sensationalism and the real urgency picks up there? 
Scott Montross: Well, I can say that we have a pretty good over-the-view horizon on how 2015 looks. And we see some projects developing in California in 2015, but we're yet to see any major projects. And if you read anything about the things that people are looking at down there, like I mentioned before, there's a company that's looking at taking water that's out of the Colorado River that they're saying it's basically water that's lost in basically dry lake basins in that area and taking it to a position where they're creating a pipeline that's approximately a 43-mile pipeline to get it into the Colorado River Aqueduct to feed the Los Angeles area. We don't see any of that yet, any of those major things. But I think if the drought conditions continue in California, then you're going to start to see some of that. Now the amount of large scale that you see is going to be a little bit questionable because when you look at Texas and their revenues or tax revenues related to the oil and gas business, it's -- obviously, there is some tax revenue related to that in California from the stuff that goes in and on and around Bakersfield, but it's not quite what Texas is. It's still about, is there the potential of federal funding for some of those projects? Will they be private work? And some of the stuff that we're hearing right now is really being discussed by private entities. So that probably is going to take a little bit longer period of time to develop. 
Operator: And then our next question came from the line of Mr. Brent Thielman. 
Brent Thielman: Just on the Water Transmission outlook for Q2. I mean, obviously, margins much better outlook there. But I'm assuming you're getting some pressure from some of these smaller projects you talked about where the pricing landscape has been a bit tougher. Listening to this call, it sounds like the bid environment overall is getting a little better. So does that margin headwind from price start to abate as we get into the second half of this year? 
Scott Montross: Does the margin headwind -- say that again, Brent. 
Brent Thielman: Does the margin headwind I guess from some tougher pricing on these smaller projects start to alleviate as you get into the second half? 
Scott Montross: Well, I think what happened is when you start getting into the larger projects, some of the things that we're talking about, IPL, second section of IPL, San Antonio, projects like that, obviously, again, it depends on what the bidding profile is on those jobs or how -- who the participants are in the bids. But I think on larger jobs, those jobs are jobs that carry a little bit more risk with them, obviously, risks related to timing on projects and things like that. So they're a little bit, I guess -- again, I just would say risky for smaller people to do which we're seeing those carry, obviously, a little bit higher margin and margin potential. But the smaller ones, until everybody starts to get at least a little bit of a baseload that work -- of work, I think the smaller ones are going to stay under pressure. You have some smaller competitors in the business now that are located, some on the West Coast, some in the East, some in the center part of the country. And then the larger competitors that, again, have gone through the same kind of bidding situation that we went through in 2013 that are, quite frankly, starved for work. And that's why a lot of these smaller jobs are contested. And I think until everybody starts to get a little bit of work in their backlog, I think that there's still going to be a little bit of margin pressure. I think that that's where the cost reduction activity comes in that we've worked on in the Water Transmission business. And I think you started to see the impact of those cost reduction efforts in 2013 with -- especially the margin levels that you saw in the second quarter and in the third quarter of the year at -- especially the third quarter with relatively low run rates. So I think we focused on being able to run at lower rates and be able to get costs out of those jobs and taking -- quite frankly, going as granular as what our costs per man hour of operations are and looking at the pieces that are controllable by the plants, like the cost of labor and the cost of overhead, and really grinding on those and getting the costs out. I think that's what you saw with the margin levels picking up in 2013. And as our revenues pick up in 2014, I think you still see those -- you'll continue to see the effects of the cost work. But it's going to take a while because I think that looking at -- and obviously, being involved in a lot of these bids, some of these bid, in fact a lot of the bids, have been hotly contested over the last 6 months. So it's going to take a while for those margin levels to come back in line with, as we've talked about, the kind of margin levels that we want to see this business generate. So it's going to take a period, and that's why when we look at the second quarter of the year, I think we still face some headwinds. We -- the idea is we start the IPL project in the May timeframe, but some of those headwinds from the pressure in the bidding activity and coming out of those small revenue numbers that we've seen, they're still going to be there through the second quarter. And obviously as we get into the third quarter and work develops, we hope some of those headwinds start to abate. But again, I can't sit here and say that we're on 2012 number of jobs bidding level even as we get later into 2014 because we're not yet. We used to see somewhere over 400 jobs bidding in individual years back in 2011 timeframe. And we've seen, in some cases, 60% of that now. So as you can see -- as you can well imagine with the competitive profile and our competition, everybody is -- everybody's hot after getting work, and that really has an impact on what the margins are for a period of time. 
Brent Thielman: Okay, that’s helpful. And then, Scott, if you won some of this San Antonio work or all of it, I guess, and presuming you're still working through IPL, could that effectively absorb all your capacity in Texas? 
Scott Montross: No. I don't -- I think that the difference between us and a lot of our competitors, Brent, is the fact that we have other capacity that we could deploy. One, obviously, our Saginaw facility gets pretty busy. But, for example, in Texoma, I mean, obviously, that was a $69 million project. And we actually had 3 mills working on that project. We had the Saginaw mill, which was our primary mill. We also had -- we had some of that material coming out of our Denver's facility as well as our Parkersburg, West Virginia, facility. So we have the ability to deploy a -- probably a wider range of assets than some of our competitors. I think we would be very busy at the Saginaw facility. The question is, is  once we get on IPL how fast can we run IPL? When does the next section start? And if we're lucky enough, can we get the next section? And where does San Antonio fit in? And if it doesn't fit into Saginaw, we'll figure out how to deploy other assets to be able to handle the job. 
Brent Thielman: Okay, great. And then just one more probably for Robin. But can you quantify the unusual costs in SG&A related to the sale of the OCTG assets? And then also kind of a run rate going forward for SG&A now that, that business is gone? 
Robin Gantt: Right. So for the selling, general and administrative, we think they'll be about $24 million for the year, is what we're looking at right now. We really didn't have anything in SG&A related to the acquisition. Everything related to the acquisition actually fell into discontinued operations. We -- yes, because SG&A is down a little bit from where we were a year ago. But we didn't have anything in there really related to the acquisition -- or to the disposition or the acquisition. 
Scott Montross: Yes. When we look at the SG&A rates, Brent, if you look at where we were finishing the year in 2013, obviously, we were down pretty substantially in SG&A expense versus where we were in 2012. And some of that was related to reductions that we were planning, obviously, with selling the Bossier and Houston assets.  So we took a pretty hard line on working our SG&A down through a big piece of last year, okay. So that's why we were on about a $24 million run rate versus -- I think the end of 2013 was about a $28 million run rate. At the same time, we've acquired 2 new facilities, and we're going through the program of integrating the Permalok facilities into Northwest Pipe. So, obviously, we'll keep working on our SG&A costs. But we certainly think that we're in pretty good position where we are to be able to run the business. Ad quite frankly, we -- Robin and I have looked pretty closely at our peer groups, what our peers are, SG&A numbers versus what their total revenue is and SG&A numbers versus what their income before tax is, and I think we're in pretty good shape versus a lot of our competitor group. But we are going to continue to work on our SG&A costs as well as every other cost that we have in bringing that down. 
Operator: And our next question came from the line of Mr. Barry Vogel. 
Barry Vogel: I only have 2 questions left; really thorough questions in this conference call. The 1 is you've been very good at lowering your costs in the last couple of years, and obviously you have to be forward-looking to continue that effort. So are there any things in terms of actions that you can take for additional efficiencies or cost improvements during 2014 and beyond in Water Transmission? That's the first question. 
Scott Montross: Yes. And I think, Barry, we mentioned it a little bit before. We've gotten pretty granular in looking at our costs on the Water Transmission side. You can look at it on a man-hours-per-ton basis when you're running pretty high volume. But it starts to get a little difficult on the man-hours-per-ton basis when the volumes are so low, even though we know we've taken a bunch of man-hours per ton out because we look at each segment of our operations and try to reduce the number of man-hours that it takes to produce a unit within that segment of the operations. So what we've done is made it as granular as looking at what our total cost per man-hour is, and the direction is certainly to continue to work down those controllable cost per man-hour, what our labor rates are. And obviously, when you work out -- when you work down your man-hours per ton, your labor rates start to decline as well as your overhead rates. And those are 2 things that we focus on as well as reducing what,  quite frankly, our cost of quality is. I think that when you look at where we are now versus probably where we were in 2011, we've taken about probably somewhere in the area of $2.5 million out of our -- a year on our total cost to quality in the Water Transmission side of the business. And that along with making sure that we're leveraging our raw material purchases is a big part of what we're doing in Water, plus the thought -- and obviously you've heard this before -- we're implementing lean manufacturing at all of our Water Transmission plants. We are -- we have done it at our Saginaw plant. We're in the process of doing it in Denver. Adelanto will be next. And we'll get through all of the original Water Transmission plants some time in 2014. I think on the Permalok side it will probably be some time in 2015 because we're still working to get them with -- on the KPIs that the company is on and how we measure ourselves and basically trying to integrate them into the culture of the company. And obviously, when you go from a small private company to a bigger company, you want to try to go a little bit slow with that so you don't overwhelm the group and so that we're getting the kind of results that we want out of that. But that's a pretty broad cross-section of every -- and we -- I think in every one of those areas, specifically in our total cost per man-hour and our looking at lean manufacturing and developing efficiencies out of that, we've got a lot of work to do on cost still. 
Barry Vogel: Yes. The last question I have has to do with M&A activity. All of a sudden, you are an acquirer and a divestiture company as you reshuffled the assets on behalf of the shareholders. So having gone through some of these experiences in the last year, how would you describe your posture in M&A going forward relative to the base that you have right now and the skills that you're honing as you turn -- as things improve at the company? 
Scott Montross: Right. Obviously, I guess, I would start by making the statement that we generally don't discuss any M&A activity. But I think the idea is, is what we're trying to do is position the company to provide a better return on invested capital for the shareholders, right? So we have an existing water business that we have a lot of work to do. We've got Permalok, and we've got a facility at Atchison that's got a pretty strong platform. Now I think the idea is that we are certainly looking beyond that for ways to be able to grow the company, and so that is an ongoing effort. And those things are going to continue on because I think you can -- we can get to a point with what we have right now. But I think in order to grow the company to the kind of levels that we want, it's certainly going to require something -- with adding something. So that's probably as much as I'm willing to say at this point. 
Operator: Our next question came from the line of Mr. Thomas Van Buskirk. 
Tom Van Buskirk: Just 2 fairly quick last questions, the first a little bigger than the second. First, is there a way to help us think about -- obviously, the cost-per-ton changes in both business with diameter and wall thickness and so forth. Is there a way you can kind of help us think about the range in cost per ton in each of those businesses that you're likely to see, depending on how it changes with mix? That's 1 question. And then the other is just, can you just describe a little bit about how Permalok enhances the business? And what opportunity does it create other than just the incremental revenue from their product? 
Scott Montross: Right. I guess, the way that I would characterize cost per ton -- and I really don't want to get into specific cost-per-ton numbers.  Obviously, that's a competitive issue in the marketplace. But when you're running a product that's 25% heavier at the same tons per hour, obviously, it's -- at the same rate -- I guess, I would use feet per minute. If you're running a product that's 25% heavier at the same foot -- feet-per-minute rate, you're obviously going to start to really have an impact on what your, 1, your tons per hour are and your revenue generated per hour and what your total cost is there. So that is -- that's the idea behind the heavier product. I don't really want to get into any more specifics than that because it starts to become a competitive situation in the marketplace. And I'm sorry, what was your second question? 
Tom Van Buskirk: Oh, the sec -- well, actually before we get to that, I have one quick follow-up to that. And that's simply, does feet-per-minute change much from smaller pipes to larger? 
Scott Montross: Well, as it sits right now, I'm not sure that the feet per minute would change that much. And I think some of the heavier wall product, the really heavy product that we can produce, might be even a little bit slower feet per minute based on the wall penetration and -- not the wall penetration, but the annealing penetration of the -- over the wall that may be a little bit slower. But it's so much heavier that the tons-per-hour number increases, and it really has a positive impact on your total cost per hour because you're running at 1 cost per hour at -- tons at a lighter gauge. Then if you got that same cost per hour and you're producing 25% more tons in that hour, even if the production rate is a little bit slower, obviously, your total cost is going to be a little bit lower. So I think that's what we expect. And I do think that there are things that we can do even on the heavier sizes to be able to allow us to run a higher tons per hour even on the heavier sizes, and those maybe some projects that we're looking into here in the near future. 
Robin Gantt: And I think, Tom, that kind of falls with where you're trying to go with this. Water is very different because it is -- every project can be different. You got very different competitive factors going on. But if you look at a more commodity-type products in pipe, generally the smaller the diameter, you're going to have higher prices and cost per ton. You often tend to see lower margins. When you got a much bigger diameter, you'll tend to see a lower price per ton and a lower cost per ton, but your margins will generally tend to be bigger than they are with the smaller. So you do tend to see that.  And that's true of pretty much all pipe, whether it's bigger or smaller when it's more of a commodity and there's so much on the market. Water is different, but I don't know if that helps you a little but in terms of relationship. 
Scott Montross: Yes. The other thing to think of on the water business is a lot of it depends on the coating, the lining, the amount of fabrication work that has to be done because each 1 of these jobs is different. You have different coatings. You have different linings. You have different wall thicknesses. You have different diameters, and you have fabrication work that's all done along with that. So it really is -- the tons-per-hour thing gets to be a hard way to define what a Water Transmission job looks like as far as margin contribution. Because a lot of what we do on the Water Transmission side of the business, we're -- a lot of -- we're selling hours in our plants, right. So how many hours does a specific project take, okay. And if we continue to focus on the things like reducing our total cost per man-hour and are reducing -- and reducing the amount of man-hours it takes to perform, whether it's 1,000 square feet of lining or coating or tape coating, any of those things, if we continue to focus on those types of things, our overall margins will improve. 
Tom Van Buskirk: The other question was very simply on Permalok. Just to -- you guys only talk about it much. I know it's small, but I was hoping you could kind of tell us how it enhances the rest of the business, how it's additive. 
Scott Montross: Well, it gets us, 1, into a -- in a different market than we've been in substantially, the microtunneling market. It's got a proprietary connection that's patented, okay. And basically that product is basically for casing or interior pipe that other pipe will run inside of, whether it's under railroad tracks or in some cases under lakes or roads or whatever. And a good deal of the projects that we see, that we bid will have some of those kind of requirements in that. So it just gives us something else potentially to pick up on in some of the jobs that we bid that we haven't had before. So it's -- it really is an accessory type of product. And quite frankly, the sales force that we have now in our Water Transmission group with having a much wider geographic reach sees -- and I'll use a sports term -- many more opportunities to bat with that type of product than what we were seeing when Permalok was a small private company that's got a relatively limited but skilled sales force. But there was only a couple of guys. Now we have our whole sales force looking at ways that we can move this product into the marketplace. So I think it's a pretty nice enhancement for what we have not only for existing projects, but it allows us to get more in-depth into the microtunneling work that is becoming more prevalent in cities and urban areas where you just can't have an open trench in the street. You actually have to microtunnel to put a pipeline in. So I think that is a very additive thing just -- obviously, the reason why we looked at it and decided that we were going to purchase that business. 
Operator: At this point, there are no questions on queue. 
Scott Montross: Well, I would like to thank everybody for attending the call. And obviously, we look forward to better markets and performance as we go forward. And I think the next thing we have is our Annual Shareholder Meeting on -- Robin, when is that? 
Robin Gantt: It is on May 29 in Portland. 
Scott Montross: And we hope to see as many people there as we can, and we'll go from there. So thank you. 
Operator: Thank you, and that concludes today's conference call. Thank you all for joining. You may now disconnect.